Operator: Welcome to the Anixter International second quarter 2009 earnings conference call. As a reminder this call is being recorded. And at this time for opening remarks and introductions I would like to turn the conference over to Mr. Chris Kettman. Please go ahead.
Chris Kettman: Thank you for joining us to discuss Anixter's second quarter 2009 results. By now everyone should have received a copy of the press release which was sent out earlier this morning. If anyone still needs a copy you can either go to Anixter's website or call Chris Kettman at 312-553-6716 and I can resend the information. On the line with us today from Anixter's management team are Bob Eck, President and CEO, and Dennis Letham, Chief Financial Officer. After management completes their opening remarks we will open the line for a Q&A session. Before we begin I want to remind everyone that statements on this conference call including words such as believe, expect, intend, anticipate, contemplate, estimate, plan, should, may or similar expressions are forward-looking statements. They are subject to a number of factors that could cause the company's actual results to differ materially from what is indicated here. These factors include general economic conditions, technology changes, changes in supply or customer relationship, risks associated with the integration of recently acquired companies, commodity price fluctuations, exchange rate fluctuations and new or changed competitors. Please see the company's SEC filings for more information. At this point I'll turn the call over to Dennis.
Dennis J. Letham: Thank you, Chris. I would first like to comment briefly on the overall business environment before continuing on with the specific second quarter results. As noted when we reported first quarter results, we experienced a very flat daily sales trend through much of the first quarter and into the first few weeks of April. As the second quarter evolved, those same flat daily sales patterns continued throughout the quarter and into the first three weeks of the third quarter. The resulting effect was that the company did not experience the normal sequential growth pattern from the first to the second quarter. In fact because of those very flat daily sales patterns on a sequential basis, sales were actually down from the first quarter due to the number of holidays in the second quarter as compared to the holiday-free first quarter. When the sequential drop in sales is evaluated against the second quarter of last year, when we experienced a more traditional pattern of sequential growth from the first to the second quarter, the result was the largest negative sales comparison experienced since the current economic downturn began. Further, and as expected, year-on-year sales comparisons for the second quarter were negatively affected by the strengthening of the U.S. dollar and a substantial decline in spot market copper prices that have occurred since the second quarter of last year. While these negatives were partially offset by sales from businesses acquired in the second half of 2008, collectively these three factors combined to account on a net basis for about six percentage points of the reported 25 percentage point year-on-year decline in sales. On a positive note before turning the details of the reported second quarter results, we are particularly pleased with the very strong cash flow generation in the second quarter. As expected in a period of economic softness this was achieved through a combination of lower working capital requirements associated with further declines in sales, both organic as well as the deflationary effect of copper prices, and aggressive working capital management. We anticipate that we will continue to generate solid cash flow through the balance of the year. Moving now to a more detailed discussion of second quarter results, as I noted a moment ago we reported a year-on-year decrease in sales of 25%. This sales decline reflects $76.2 million of negative foreign exchange effects, an estimated $50.7 million of negative copper price effects, offset in part by $41.1 million of incremental sales associated with acquisitions. The net result was a 19% organic decline in sales that affected all parts of our business. Looking at the second quarter sales trends within each our end markets we saw the following. On a worldwide basis enterprise cabling and security solution sales, exclusive of foreign exchange effects, declined organically by 16% as compared to the second quarter of last year. Within this end market our security sales continued to report positive year-on-year comparisons although at lower rates than in recent quarters. Exclusive of foreign exchange effects, security related sales increased by 3% compared to the second quarter of 2008. Geographically our enterprise cabling and security solution sales were down 13% organically in North America, 23% in Europe and 25% in emerging markets as compared to the year-ago quarter. As we look to evaluate where we are in this economic cycle it is important to note that on a sequential basis from the first to the second quarter of 2009, we saw enterprise cabling sales decline by just under 1% despite a nearly 4% drop in the number of shipping days in the second quarter as compared to the first. By geography we saw sales on a sequential basis, exclusive of foreign exchange effects, increase by 2% in North America while declining by approximately 12% in both Europe and emerging markets. Approximately half of the European and emerging markets' sequential change in sales is attributable to the fewer number of shipping days within each region during the second quarter as opposed to the first. Worldwide electrical wire and cable sales, exclusive of foreign currency, estimated copper price effects and the elimination of sales from a business acquired in late 2008, experienced an organic decline of 17% in the quarter. Specifically, the organic sales decline was 18% in North America and 19% in Europe. On a sequential basis from the first to the second quarter of 2009 worldwide electrical wire and cable sales declined by 4%. In North America the organic sequential decline was 1% and in Europe it was 11%. After adjusting for a number of holidays in the second quarter North America wire and cable sales were up about 2% sequentially, while about a third of the European sequential decline is attributable to the number of holidays in the second quarter. Sales in our worldwide OEM supply business in the second quarter, after elimination of foreign exchange effects and sales from businesses acquired in the second half of 2008 were down 31% on an organic basis as compared to the second quarter of 2008. In Europe we had an organic sales decline of 46% on significantly reduced production rates throughout our customer base, with the recession effects particularly noticeable in the Italian and U.K. markets and especially with respect to heavy truck, agricultural equipment and construction equipment production. In North America OEM supply sales were down 10% organically as for the first time in the cycle we saw softening demand from customers in the aerospace market, together with further production cutbacks at our industrial customers. Sequentially OEM supply sales were down 13% of which approximately one-third is attributable to the greater number of holidays in the second quarter while the balance reflects further customer production cutbacks. As we look forward to the second half of 2009 we expect reported sales to decline on a year-on-year basis due to the stronger U.S. dollar and lower spot market copper prices. Assuming the dollar and spot market copper prices continue to trade at approximately the same levels as they have for the past few months, we would expect the third quarter to see the same comparative sales impact from these factors as we saw in the first half of the year. In the fourth quarter most of the exchange rate impact will disappear as we anniversary through the correction in dollar valuation that happened in late 2008 while copper impact will continue through year-end. Most of the 2008 acquisitions took place in third quarter or first few weeks of the fourth quarter. And therefore the comparative impact on sales will phase out almost completely during the third quarter. Setting aside the effects of foreign exchange rates, copper prices and acquisitions, the organic demand environment remains uncertain for the near term. While there is some economic statistics that suggest the economy may begin to find the bottom, including some areas of our business that experienced sequential strengthening during the quarter, there is not yet pervasive evidence that the bottom has been reached in the current economic cycle. Bob will discuss current trends in greater detail in a few minutes. Turning next to gross margins in the second quarter we reported gross margins of 22.7% as compared to 23.8% in the year-ago quarter. This decline is due largely to mix as we saw our highest gross margin and market OEM supply report year-on-year organic sales declines of 31% as compared to the company-side organic sales decline of 19%. At the same time lower gross margin end markets such as enterprise cabling and security reported a much lower worldwide organic sales decline of 16%. In addition sales in Europe, which is our highest gross margin segment, were down 33% organically as compared to our 19% company-wide organic decline in sales. Gross margins were not affected in any material manner by product pricing. While overall product pricing has remained fairly stable, we have however seen increased manufacturer discounting and competitive pressure in certain product areas. Bob will discuss this in more detail in a few minutes. The effects of lower copper prices did however reduce gross profit dollars by $11.3 million as compared to the year-ago quarter. As reported the second quarter results include a $100 million non-cash goodwill impairment charge related to our European operations. The impairment charges due to continued operating losses during the quarter and a reduction in the projected future cash flows from this operating segment, based on the company's revised outlook due to the weaker European economic forecast. Looking for a moment at operating expenses, exclusive of the goodwill impairment charge, we reported an approximately 10% year-on-year decrease in expenses from $262.3 million in the year-ago quarter to $235.2 million in the most recent quarter. Acquisitions completed in the past year added $13.3 million to current quarter expenses, while foreign exchange effects reduced expenses by $16.1 million. The net effect of acquisitions and foreign exchange together with current-year severance costs had a $4.2 million prior-year cost associated with the retirement of our former CEO was collectively minimal. Just as important as the year-over-year decline in expenses is the consecutive quarter expense trend. After adjusting second quarter operating expenses for the $5.7 million of severance cost, on a consecutive quarter basis, operating expenses declined by a further 3%. We anticipate that operating expenses will continue to decline as savings from the second quarter severance actions begin to be reflected in future quarters. We have continued to trim staffing expenses in response to the changing business conditions. From a peak of approximately 8,800 employees in October of 2008, we have reduced headcount by approximately 725 people or about 8%. Operating expense control remains a high priority and as the year progresses, we intend to continue evaluating activity levels and productivity to ensure our expense structure is sized to meet the near-term realities of the economy while at the same time balancing Anixter's short-term objectives with its longer-term strategies and programs. To be clear, our focus is on both expense control and further distancing ourselves from the competition. We will remain highly prudent on cost but never lose sight of our positioning as a market leader as we seek to capitalize on the eventual market recovery. So to summarize from an operating income perspective, operating profits fell from $121.8 million in the year-ago period to a loss of $58.7 million in the most recent quarter, of which $100 million is attributable to the goodwill impairment charge. Looking at this $80.5 million decline in operating profits and excluding the impact of lower copper prices, severance for foreign exchange and losses from 2008 acquisition, the remaining decline in operating profits was $65.5 million. This decline reflected the combined effects of the 19% organic decline in sales, the 110 basis point decline in gross margins caused by non-favorable sales mix which were partially offset by 10% organic decrease in operating expenses. As a result, operating margins excluding the goodwill impairment charge fell to 3.4% in the second quarter as compared to 7.5% in the year-ago quarter. As we move further down the income statement, interest expense has adjusted to reflect the new accounting treatment for convertible bonds required by FASB Staff Position 14-1 increased from $14.3 million in the prior year quarter to $17.3 million in the current quarter due to the higher cost of borrowings. Since year-end, we have used our strong cash flow generation to reduce borrowings by $195.3 million and we have increased our invested cash balances by $41.3 million. However, in the current quarter, our average cost of borrowings rose to 6.8% versus 5.5% in the year-ago quarter due to the higher costs associated with the new senior note offering in March of 2009 and lower average short-term borrowings which have lower interest rates associated with them. At the end of the second quarter, approximately 97% of our outstanding debt had fixed interest rates either by the terms of the debt or through hedging contracts. The other income and expense line was a net expense of $3.3 million in the current year as compared to $3.6 million net expense in the year-ago quarter. In the most recent quarter, the loss was largely attributable to a loss of $2.1 million associated with the cancellation of interest rate hedging contracts resulting from the repayment of related borrowings while the prior year expense is primarily due to a combination of foreign exchange losses and reduction in cash surrender value of company-owned life insurance policies. The second quarter tax provision exclusive of a tax effects of the goodwill impairment charge, which had no tax benefits associated with it, was 50.4%. This tax rate reflects a revised 2009 full year outlook for an effective tax rate of approximately 43.6%. The prior year second quarter effective tax rate was 37.5%. The substantial increase in the effective tax rate reflects the larger effects of permanent differences in taxable income versus reported income on a smaller pre-tax income basis and significant changes in country level profitability with high cost tax countries such as the United States accounting for a substantially larger portion of consolidated pre-tax earnings. Due to uncertain market conditions, it is likely that the mix of earnings by country will remain volatile in the near-term making precise predictability of our tax rates difficult. For the quarter, the company reported a net loss of $89.8 million of which $100 million is attributable to the goodwill impairment charge. Exclusive of the goodwill impairment charge, net income for the quarter was $10.2 million compared to $65 million reported in the year-ago period. The net loss for the current quarter was $2.53 per diluted share which included a negative impact of $2.82 per diluted share due to the goodwill impairment charge. Exclusive of the goodwill impairment charge, net income per diluted share was $0.29 as compared to $1.66 per share in the year-ago quarter. The current quarter's fully diluted net loss per share benefited from an approximately 9% drop in the fully diluted share count as the net loss results in common stock equivalence and convertible bond related dilution being anti-dilutive. Looking at an expected strong area of the business during soft economic times, we generated $171.6 million in cash from operations during the quarter as compared to the $43.5 million generated from operations in the year-ago quarter. The increase in cash flow reflects $140.3 million of working capital reductions in the quarter associated with the organic decline in sales and lower copper prices combined with continued inventory reduction to better align inventories with the current demand levels. The strong second quarter cash flow from operations brings the year-to-date total cash flow from operations to nearly $260 million. Through the first 6 months of 2009, capital expenditures were $12.2 million as compared to $17.3 million in the first six months of 2008. As mentioned earlier, we anticipate continued strong cash flow for the foreseeable future. As of today, with the recently announced amendments to our revolving credit agreement and the renewal of our accounts receivable securitization program, together with our on-hand cash balances and our expectation for continued strong cash flow, we have more than ample liquidity to support the business through 2009 and beyond. Based on the recently amended credit agreement, we have approximately $309 million in available committed unused credit lines, only $5 million of borrowings under our recently renewed $200 million accounts receivable facility. At quarter end, we had $47.3 million of invested cash balances. Also important to the company's current liquidity position is the fact that none of the convertible bonds that could have been put to the company on July 6th were in fact put, thus avoiding a potential $171 million cash outlay. Collectively, these resources will provide the liquidity to support the business through 2009 and beyond. To the extent that we continue to generate strong cash flow, it will be used to reduce financial leverage in the near term. We regard our strong financial position and significant liquidity as important differentiators for many companies in today's market as they provide Anixter with financial flexibility to adjust quickly to new market realities, including allowing us to capitalize quickly on the eventual market rebound when that occurs. Over the near term, we expect this financial position to improve even more based on an expectation of continued strong cash flow. At this point, let me turn the call over to Bob to discuss strategic initiatives, current business trends, and the near term outlook.
Robert J. Eck: The ongoing global recession continued to challenge our business during the quarter. As Dennis noted, we saw year-over-year sales declines during the second quarter and relatively flat sales sequentially when holidays are taken into account. However, there were some positive developments in a couple of areas that I will describe later. Also worth note is the reduction in operating expenses in the quarter, reflecting a number of difficult decisions taken during the past three quarters to align our expense structure with the continued decline in sales volume. We will see additional expense benefits from those actions as we work through the balance of the year. The combination of good expense management coupled with the continued focus on tight working capital management enabled us to exit the quarter with strong cash flow generation. We are diligently working on pricing and gross profit discipline as we are beginning to see more competitive price pressure in some markets as the recession drags on. Beginning with the enterprise cabling and security solutions end market, we experienced declining sales compared to prior year in all of our geographic segments. This was the first quarter to show an organic decline in ECS sales in Latin America as part of our emerging markets business as the recession began to have a greater impact on our business in certain countries, particularly Mexico. In addition, the business in Mexico was affected by both holidays and a government mandated shutdown due to the H1N1 flu. The Asia Pacific portion of the emerging markets business experienced sales results in line with the first quarter and down significantly from prior year, due to reduced IT spending by U.S. multi-national companies. EMEA and enterprise sales declined as well. On a positive note, ECS sales in North America, while down over prior year, increased sequentially from the first quarter of this year. This was driven by both security sales and a modest improvement in project business. Pricing in the enterprise market showed some softening, particularly in category 5 and 6 cables. We continued to see growth in security sales in all geographies. North America showed organic growth of 3%, EMEA grew 2%, and the emerging markets achieved 8% organic growth over prior-year. The ECS product inventories are aligned with sales volume in all business segments. We believe that the success we are experiencing in security and the modest sequential pickup in project business are both driven by our unique approach to distribution which focuses on assisting customers in making decisions based on the products' technical attributes in the customers applications. As well as offering a suite of supply chain services that reduce cost and working capital for our customers. We have maintained our investment in technical and supply chain expertise and tools, including our infrastructure lab and e-business software. This enables us to continue to support customers as they plan for new capital projects that will be implemented as the economy recovers. Our new business development initiatives continue to add new customers for our ECS offerings in every geographic business. Finally, in our North American segment we manage a couple of large supply chain management contracts for service providers and OEM's in the telecommunication markets. We have made the decision not to pursue a renewal of a contract we have had with Alcatel Lucent for a number of years. Spending by their end customers has decreased and Alcatel Lucent engaged in a reassessment of their supply chain model. Our decision to exit the contract was driven by being unable to find a common ground between our needs and those of our customer. We are assisting Alcatel Lucent in transitioning the contract to another provider over the remainder of this year. The impact going forward will be a reduction in sales on an annual basis of roughly $130 million and a negligible impact on operating earnings. The electrical and electronic wiring cable end market saw the continued impact of lower priced copper versus prior year, along with weaker sales to OEM customers and some softening in the industrial projects. While the price of copper was more stable during the quarter, we did experience the full effect of the deflation from copper price levels in the third quarter of 2008 as previously contracted projects and higher cost inventory were substantially sold through in Q1. The OEM customer vertical was consistently weak around the world. This directly relates to the difficult environment for manufacturing in the economy. Industrial project sales were impacted by some project delays, as well as discounting by cable manufacturers. While project-bidding activity has been good, customers have been slow to release purchases. Wire and cable sells in the North American segment experienced some sequential weakness in the U.S. compared to the first quarter, which was offset in part by sequential growth in Canada. The sequential growth in Canada was driven by continued healthy project activity in resource extraction and processing sectors. Sales in the European business segment were down on a sequential basis; however, our effort to expand the business across continental Europe and the Middle East generated organic growth of 9% sequentially. Inventory of electrical and electronic wiring cable products is substantially in line with demand in North America. In EMEA, we are continuing to work through higher inventory in one type of industrial cable and believe that that will be complete by the end of the third quarter. As we have said in the past, we are ongoingly balancing our inventory investment with current demand, lead times and our need to provide outstanding customer service. We continue to have very detailed focus on managing our sales initiatives across all geographies. Customers are realizing benefits from our ability to support larger scale global projects across multiple countries simultaneously and reduce cost and working capital through our supply chain service offerings. This is helping us maintain a strong position with engineering and construction companies. Those customers continue to report strong backlogs and some delays we have seen in prior quarters appear to be alleviating somewhat. Strength of the engineering and construction companies in resource related projects and both power generation and alternative energy, as well as the global footprint, make them a very important customer group for us. Lastly, we are currently investing in additional people to speed the growth of our wiring cable end market and the emerging market segment. This is a segment in which we have a very small wiring cable business and a very large market opportunity. We are adding to our sales and marketing teams to improve our position for both the OEM vertical as well as the industrial project and MRO opportunities. While there are traditional wholesale distribution competitors in the emerging markets today, we have not encountered competitors using an approach similar to ours emphasizing product and application expertise along with services to manage supply chain costs. We are confident that this creates a gap in the service offered to customers that we are uniquely positioned to address. In addition, strengthening our team in these geographies will further enhance our ability to support global engineering and construction customers as well as industrial customers. Turning to the OEM supply market this was our most difficult market in the second quarter. The continued challenges faced by manufacturers drove both sequential and year-on-year declines in sales. In North America, the continued decline in our customers' production rates offset the gains we experienced in the first quarter from new business won in the second half of 2008. The aerospace vertical market experienced a sharp decline in sales in the quarter due to the contraction in the commercial aviation and regional jet markets. Challenges with financing and the continued delays in the 787 Program intensified the contraction in aerospace that began as largely as civil aviation problem last year. The rapid decline in the aerospace sector and continued decline in the industrial market drove additional cost reduction actions in the second quarter. In addition, we continue to work on reducing inventory in the OEM supply market. Both in North America and Europe, inventory management efforts are making progress in reducing on-hand as well as inbound inventory for industrial customers. In most cases, the contract terms require the customer to assume liability for inventory purchased to their demand forecasts. For this reason, there is minimal risk of inventory losses due to the volume decline; however, we are diligently working to bring working capital in line with current demand. Excluding foreign exchange impact, industrial OEM inventory declined by $28 million during the second quarter. Inventory of aerospace fasteners and small parts has been more difficult to reduce due to the fact that at the beginning of this year we were buying to higher demand forecasts with product lead times averaging 52 weeks. As the year progressed, lead times declined dramatically along with usage. As a result of this sudden shift, we have been very actively engaged with suppliers to cancel and delay orders when possible, to also slow the inbound inventory. At the same time, we have been working with customers to take deliveries based on their demand forecasts. The efforts have stabilized the inventory and we expect to see declines in aerospace inventory later in the year. On a positive note, we have a very active pipeline of new opportunities in the OEM supply end market. We have won some smaller new contracts this year, and are actively pursuing additional opportunities. By maintaining an experienced implementation team in place, we are able to credibly present our ability to not just win the bidding process, but to actually implement a new program with no disruption for the customer. This enables the customer to more quickly realize the benefits of the new program. In the past couple of quarters we have described our approach to expense management as being both short and long term oriented. We have been very focused on taking actions to reduce costs to gain the best leverage we can on our operating structure in a very difficult economic environment. Those efforts drove the severance and facility charge in the fourth quarter last year and the severance charge we reported this quarter. At the same time we've been attentive to focusing past the current recession to retain our unique capabilities to be well positioned both to pursue product and geographic initiatives, as well as take advantage of the inevitable recovery. I am pleased with the progress we have made and we will continue to manage expenses in this way and work to keep our working capital in line with the sales volume we are realizing. As we look to the balance of the year our visibility is limited. Positive trends include the sequential growth in the enterprise market sales in North America that we saw in the quarter. We also saw an uptick in bookings late in the quarter in all three geographic reporting segments. At the same time we do expect extended holiday shut-downs will negatively impact sales in the OEM supply end market both in North America and Europe. Given the continued drag of the global recession on customer spending there is continuing uncertainty as to how the next couple of quarters will unfold. We will now open the call to questions.
Operator: (Operator Instructions). Our first question comes from Hamzah Mazari – Credit Suisse.
Hamzah Mazari – Credit Suisse: Just a couple questions, could you comment on your European business and the charge taken there? Is that just a slowdown in the economy that's going to persist for awhile in your projections or are there any structural issues confronting you in that business, just wanted to get some thoughts on what's changed there since last quarter?
Dennis J. Letham: Yes, just to kind of reiterate something we've said I think many times in the past, one of our challenges in Europe is we have a cost structure that spans 22 countries. We effectively have an enterprise tabling sales presence in all of those countries. Our electrical, wiring, cable business is much more limited and only covers a small subset of that, as does our OEM supply business. One of the strategic initiatives we've had is to expand both the wire and cable and OEM supply businesses so that we get better leveraging of that country level infrastructure cost. What's happened over the course of really probably about the last three quarters has been the continued decline in overall volumes in Europe, means that we're getting even less leverage out of that cost structure. And as we have continued to watch broad-based economic forecasts for Europe for the next couple of years be reined in on a number of different sources, that in turn causes us to reassess what we believe we'll be able to do in the next couple of years. And when you roll that together and you come up with the required discounted cash flow models under the accounting rules, compare that to the invested value in the business, you end up with the net result of the $100 million goodwill write-off in the quarter. So our strategies I think are still the right strategies we need to drive sales growth on all three fronts. We need to get better leveraging of that cost structure and but in the short run we've kind of got one arm tied behind our back in terms of what the macroeconomic conditions are like.
Robert Eck: Yes, if I can just pick up on Dennis's comment. Don't read the goodwill write-off as a lack of commitment on our part to Europe as a market we want to be focused on. We think it has great potential for us. Our penetration as we've said many times in continental Europe across all three end markets is low, and so as we look at it strategically we think it's a place we should be, we think it's place with future potential for us. But again if you look at the economic forecasts that are coming out it's kind of hard to get your brain around an aggressive growth number in the near term that has a lot of impact on the cash flow model Dennis described.
Hamzah Mazari – Credit Suisse: And then could you quantify if you have handy, how we should think about the earnings impact of the holiday shutdown? You told us where it was on the top line 4% negative.
Dennis J. Letham: The holiday issue is because of the multi-national footprint, hard to categorize on just a given number of holidays, but if you look at what happened this year, Easter fell into the second quarter. That has a little bit of impact in North America but actually results in two lost days, Good Friday and Easter Monday through much of Europe and most of Latin America. We have Memorial Day in Q2 which of course it always is. And then with our quarter ending on Friday July 3rd, which was the kind of official observance day of the July 4 holiday that meant that July 4th fell into the second quarter as well from a North American stand point. You have in Q2 as you always do in Canada, I think it's' Victoria Day or Memorial Day or something like that.
Robert Eck: Victoria Day and then Canada Day, which is July 1st.
Dennis J. Letham: Right, and then you have sprinkled around through many of our foreign operations countries that are closed on May 1 for the May Day holiday and in Europe you have a number of countries that have the so called bank holidays that occurred in Q2 of which there really aren't any in Q1. So it's not that you can point to just here are the three holidays. It's our collective view when you evaluate all the lost days and add up the pieces. It's somewhere probably between 3.5% to 4%.
Robert Eck: I think the other point on holidays and this was very true in the last recession, is that both installers and OEMs reduced their work days around the holidays in soft economies. So where you might have a holiday that would trigger normally might trigger one day off and work crews would work on installation projects around that holiday in an environment like this, typically the work crews are shut down for longer than just the sort of observed holiday. In addition, manufacturers tend to shut down, take advantage of holidays as a reason to shut down and reduce their inventories and production rates. So I think in recessionary times the holidays have a sort of an outsized impact on the business.
Hamzah Mazari – Credit Suisse: Just last question could you give us a sense of the renewal of the credit agreement? How much of that was driven by a higher probability that you were below the fixed charge coverage covenant versus other considerations?
Dennis J. Letham: I want to be very clear. In the second quarter we were in compliance with all covenants as they existed in the second quarter. The one covenant, the fixed charge coverage covenant was the one that had a much higher probability of being violated at some point down the road, and that's basically because we lease all of our facilities so rents get capitalized into that charge both into the numerator and denominator which creates kind of a 1:0 relationship in that calculation. So as EBITDA comes down that becomes a bigger drag on the calculation which was what drove the requirement to amend that. As we approach the amendment process and looked at where we were at from a cash flow standpoint, we felt it was an appropriate trade-off to reduce the size of the facility some in exchange for pricing in the amended agreement that's probably a little bit south of market at the moment.
Operator: Our next question comes from Kyle O'Meara – Robert W. Baird.
Kyle O'Meara – Robert W. Baird: So just taking a longer view here, assuming we don't see an improvement in conditions over the next year a meaningful improvement. What would you do to a reaction to protract that slow growth environment? How would you change the cost structure and think about gross margins that sort of thing?
Dennis J. Letham: We think right now for the current volume run rate we have roughly the right expense structure. I think it's pretty clear from the comments today we've taken actions last year as well as in the second quarter. We're, as I know I've said on previous calls, we're tracking productivity by segment as well as end market to make sure that we're basically tracking a productivity level consistent with the sales volume that we've seen in the past. When we've been at a similar sales volume in the past so that's roughly the metric. If we saw persistent sort of flat sales, I think we're about where we need to be. If we saw additional declines in sales we'd have to take additional actions. But I guess importantly some of the actions we took in the fourth quarter were only beginning to take effect part way through the second quarter, so there is a cost benefit that will be more significant as we roll into Q3 and then Q4 as well on the actions that we took here in second quarter. 
Kyle O'Meara – Robert W. Baird: And then on gross margins given the lower sales growth this quarter versus flat, is there any risk to rebates as we move through your volume rebates?
Robert Eck: We believe that we've got them appropriately reflected based on current run rates and volume at this point in time and, you know, that's not to say that further changes up or down in actual activity levels over the second half of the year couldn't result in either some positive or negative adjustment s, but we think we've taken a realistic view of where the year's likely to play out at this point.
Kyle O'Meara – Robert W. Baird: Right, great and then finally could you just comment on how July's been tracking month-to-date, is it similar to 2Q?
Dennis J. Letham: Well, yes. As I said in my opening remarks, I think my exact words were that the very flat daily sales pattern had continued into the first three weeks of the third quarter so if you stand back and you say how does this environment feel? It actually – I'd point you back to the 2002 timeframe. What's playing out here looks a lot like 2002, when we went through a series of quarters where the top line was virtually the same quarter after quarter. And that seems to be that the sort of general feel to market conditions at the moment, which hopefully is a – well, we'll look at it as a glass is half full, as a positive sign that we're in the bottom of this recession and all we're doing is ticking up days until the upturn is about to kick in.
Operator: Our next question is from Nat Kellogg – Next Generation.
Nat Kellogg – Next Generation Equity Research: Thank you for taking my question. Just a sort of question on gross margin, I know you guys don't give guidance, but just trying to get a sense of, – I realize the question was asked about rebates, but sort of how copper might be affecting things as we go forward and then starts to tick up in prices we've seen for most of this quarter. Where you – and I guess a little bit, too, on some of the cuts you've made, where you guys sort of feel that gross margins can go? I mean do you think there are some further risks on downside or do you feel like at current run rates that there is some stabilization probably going forward?
Dennis J. Letham: I think you managed to get about three or four questions into that. Let's try to take it apart and take them one issue at a time, okay? Let's talk about copper impact first on revenue. At the beginning of the year we said that we felt that with an expectation of copper around $1.75 a pound, which was our outlook for this year, that copper would probably cost us somewhere in the range of $60 million to $65 million dollars per quarter in sales once we had fully adjusted to that $1.75 level. In the first quarter, recognizing that we were still cleaning up older orders at higher price points, that copper impact was around $38 million or $39 million. And the expectation was when we got to Q2 that we would see something closer to the $60 million. Indeed what happened in Q2 was copper prices started to move up above that $1.75 range, in fact it averaged about $2.15 for the quarter so we got the full impact of lower copper prices but cushioned a little bit by the uptake in prices will that in result about $50 million, $51 million of impact. At this point in time, I mean copper over the last couple of days have been closer to $2.50. If that were to continue to hold then we're probably south of $50 million of impact in the next couple of quarters, but it really depends on your view of where copper prices are going to be, so that's kind of the revenue impact. Copper prices themselves do not have any impact on gross margins, but they do impact gross profit dollars. So as we said here in Q2, we had about I think it was $10 million or $11 million dollar gross profit impact, but it did not impact gross margins and then Bob, would you like to comment on the expense part of Nat's question?
Robert J. Eck: Yes, I think that we kind of addressed it on the earlier question, but I think we will see full quarter effect of some of the reduction we have taken over the course of the past nine months, so I think we'll see declines in expense over the balance of the year. I do want to hit gross margin cause I think you had a question buried in there about gross margin trends as well and I think what you should see in the current quarter gross margin number as Dennis said is that we're seeing the effect of sales mix shifting towards the enterprise business as the higher profit margin businesses declined at a greater rate. So the mix kind of shifted in term of total revenue towards enterprise. The result is that that impacts gross margin and takes it down. So if the mix stayed similar my observation would be I wouldn't expect a big pick up in gross margin.
Dennis J. Letham : I'd say the only other point, just to repeat something I said earlier which is that part of that mix issue too, is the larger decline in sales in Europe versus the rest of the world, where in Europe we have higher gross margins overall in the business. So there's a part of this mix issue that's tied to rebound in Europe as well as pick up in volumes from some of the higher margin businesses like OEM supply and some of the electrical wire and cable stuff.
Nat Kellogg – Next Generation Equity Research: Okay that's helpful and then just on sort of working capital, it looks like you guys' DSO is in pretty good shape, but just curious about sort of whether you think there's the opportunity for additional sort of cash generation from working capital over the next couple quarters or whether you think you guys are most of the way there? And I realize inventory turns are down a little bit, but I guess maybe Dennis, to your point that some of these businesses you got to keep a certain amount of inventory particularly in Europe just to be able to service the customers, so any expectation there would be helpful.
Dennis J. Letham : Well, I think Bob commented on a little bit about inventories particularly in the OEM supply business and Aerospace in particular. We think there are definite inventory reduction opportunities there over the next couple of quarters. We have a small amount of electrical wire and cable stuff in Europe yet to be reduced. So there is still some inventory reduction opportunity that's there. And of course in this environment were looking at all of the working capital to make sure that everything is being productively used and it's a good investment, particularly against a rising cost of borrowed capital. So we will continue to address efficiency and working capital in the short run across the board.
Operator: Our next question is from Kevin Scarcney – Legend.
Kevin Scarcney – Legend: Just kind of a bookkeeping question, I know you're talking about the difference in sales days year-over- year. What was the difference in sequentially if you can quantify that?
Dennis J. Letham : Sequentially in number of days? Well there were virtually no holidays in Q1 because our year end ended on I think it was January 2nd or 3rd, so the new year holiday fell into the fourth quarter of last year and then the first real holiday you bump into is Easter, which this year came in Q2 not Q1, so the only holidays of consequence to point to would have been the Chinese New Year holidays in Asia, which given the size of our presence in Asia as part of the total mix is not material.
Kevin Scarcney – Legend: And I guess commenting on volumes I mean excluding price, I mean volumes in North America actually look up sequentially, which I have to assume is encouraging, correct?
Dennis J. Letham : Yes, we would agree.
Kevin Scarcney – Legend: And just kind of from a thousand feet, your OEM supply business, I know it's been a pretty good business, higher margin business, but you guys have always had a hourglass philosophy. Is this downturn changing any of that view, is it you need to get more customers, is there any discussion internally about the strategy there?
Robert Eck: Yes, I think we still view the OEM supply market as an hourglass market. I don't think that sort of dynamic in that market has changed at all. There's still lots and lots and lots of customers to potentially address and there are still scads of suppliers in the business. So I do think we can fit in the middle of that supply chain and add value for the customers. So that does lead to the point I think you are alluding to. We are very focused on new business acquisition in that market, in North America, in Europe as well as in China.
Dennis J. Letham: I think the only other thing I'd add to that comment too, Bob, is one of the things we've always tried to do is to have presence in markets where there's good customer vertical market diversification that we aren't concentrated into one or two markets that get you kind of rip sawed in a sort of narrowly defined cycle. And the problem with the OEM supply business in this case is while we've got a decently diversified book of business, there's really been nowhere to hide in this very broad-based recession when it comes to issues of lower industrial production.
Robert Eck: I think that's an important part of how you would look at, frankly, our performance this year. We felt we built a business that was diversified across end markets, customers, and geography, and if you look at past recessions there have been kind of ebbs and flows in how the recession's impacted different sort of industry sectors, different geographies, and this one has been global in nature and as Dennis just said there's nowhere to hide. So it's a pretty broad industrial impact and it's had a big impact on the OEM supply business, where we are out, as I said, actively winning new contracts. They are certainly smaller than some of the big ones we won last year and that reflects lower production rates.
Nat Kellogg – Next Generation Equity Research: And my last question is just kind of a bookkeeping again, the severance of $5.7 million, is that all in Europe?
Dennis J. Letham: No, in fact it would have been much more heavily weighted towards North America in this quarter. The fourth quarter charge was primarily Europe. This quarter would have been largely North American-based.
Operator: Our next question comes from Matt McCall – BB&T Capital
Matthew McCall – BB&T Capital Markets: Thanks. Good morning. Bob, you mentioned some of the concerns about the aerospace business and if I remember you've talked about that in the past, expectations of I think you've referenced Boeing's pipeline, or maybe Dennis you have, in the past. And the other thing you've mentioned though is concerns about the late-cycle nature that E&C large project category. It sounded like, Bob, you were saying somewhat positive things. But maybe can you review those comments again, and are you still concerned about funding of some of those large projects and the viability of that pipeline?
Robert J. Eck: Yes, great question. We have talked about that in the past and what I was saying in our comments is that we continue to see very strong pipelines at the E&C companies. We had seen some project delays. We're seeing some of that go away now. Some of the projects are beginning to move ahead. Some of that may be financing related. I do know from conversations with some customers that some of that was, I'll say, a purchasing timing exercise on the part of that the final end customer who was trying to figure out if I delay in the current economic environment, can I negotiate for a better price on the various parts going in? And we also had some environmental delays on certain projects. So kind of throw that all in the mix, I think a variety of factors creating some of the delays. Some of them recession related, some not recession related, but we're beginning to see some movement. So I do think those healthy backlogs are going to be realized. I wouldn't speculate that they're going to be realized very quickly. I don't anticipate a sudden turnaround in the next quarter where we see a bunch of projects released that have been sort of engineered and on the books waiting to go ahead at this point.
Matthew McCall – BB&T Capital Markets: Okay, on the ET&S business, you talked about strength and security. Can you break that down anymore, Dennis, and let us know what the growth maybe security and ex-security and any granularity across the geographies?
Dennis J. Letham: Well yes, I think that we did give those to you. Securities sales by geography and this is without foreign exchange impact in them, okay? North America was up 3%, Europe up 2% and emerging markets up 8% and all of that blended to a 3% company-wide number.
Matthew McCall – BB&T Capital Markets: And then, let's see, I think you mentioned – just to review the cost benefit that you saw? I think Bob you mentioned it in Q2 you'll see more of it, the previous actions that will show up in Q3. Can you give us a rundown of what the cost benefit was in Q3 and kind of the run rate through Q3 and Q4?
Dennis J. Letham: Well, the charge we took in the fourth quarter of last year was projected to generate annualized savings of $14 million to $15 million. Some benefit of that came in the first quarter. Some of it didn't come until the second quarter, but by the second quarter the annualized impact of that on a quarterly basis is fully in the numbers in Q2. The charge taken in the second quarter of $5.7 million, those actions were taken later in the second quarter as it was becoming increasingly clear there was no seasonal pickup in the business, so they had virtually no benefit to Q2. Will begin to kick in in Q3 and not really have a full impact when we get to Q4 and the estimated benefit associated with that $5.7 million of severance is $27 million, $28 million.
Matthew McCall – BB&T Capital Markets: And then a final one, Bob, you mentioned, or maybe Dennis, the pricing issue, you started seeing more aggressive pricing and you mentioned some specific products. Any more color you can add there about where you're seeing that pricing pressure or pricing actions and is it considered irrational, or is it just competitive?
Robert Eck: I think it's late-recession competitive pricing pressure. There's lots of unused capacity and so there's opportunistically I think some manufacturers are trying to see where they can put some volume through the plants, and as a result we've seen some modest price competition in the category 5 and 6 cables. Now, when you look at the enterprise business it's a mix of security products, fiber optic products, wireless access points, headsets, racks and cabinets, power supplies, cable assemblies, etc. So I wouldn't draw a direct connection between the pricing pressure we've started to see and what we project the top line to be in the enterprise business, but it will definitely have some effect on it. And we're seeing mid-single digit price pressure that's materialized here really mostly in the second quarter. But I do think it's just sort of short-term competitive pressure. It's not dramatic. It's not a big, irrational move by a manufacturer to try to take share.
Operator: Our next question is from Jeff Beach – Stifel Nicolaus
Jeff Beach – Stifel Nicolaus: I have a couple of questions. First of all, can you give us an idea of what's happening overall in your enterprise pricing year-over-year? Either adjusted for copper or not adjusted or something that might give us an idea of what's happened with the volatility with copper going up last year and coming back down now and whether that's impacted?
Robert Eck: Well, first in the enterprise business, which is the one you mentioned, copper has a pretty small effect. It's a very small percent of the cost of the raw material in copper cables and again, there is a bunch of other products in that end market. So copper in itself is not a big factor in the enterprise business. It's more a factor in the electrical and electronic wire and cable business. And I think as you look at that, as we've said in the past, there are certain products, medium voltage products that tend to sell more closely to the price, tend to move more closely with the price of copper. Building wire tends to move more closely to the price of copper. A lot of the other products we sell are sold off price lists and the price lists don't necessarily adjust sort of in lockstep with copper. So what we did in the numbers Dennis ran through and in the numbers in the release is tried to identify the pricing impact that we realized from copper. I guess better to say the top line revenue impact from copper and that was all experienced in the electrical and electronic wire and cable business.
Jeff Beach – Stifel Nicolaus: I totally shouldn't have mentioned copper. Just can you – is pricing an enterprise right now, generally lower than it was one year ago, similar of last year?
Robert Eck: I think it's as I just said, we are seeing some price competition in the category 5 and 6 cables and those would be the main place where we are able to sort of identify and quantify pricing in the market. And again, as I just said, it kind of mid-single digit declines.
Jeff Beach – Stifel Nicolaus: Second, in talking about your daily sales patterns that have been fairly flat for some time, including going into July, typically Europe is weaker the third quarter because of the holidays and in August. Kind of looking through this third quarter how do you see Europe? Is it – do you think you anticipate Europe being down in the third quarter sequentially like it usually is or a better and if it is down, what markets would be out there to offset that to continue the flattish type daily sales declines or daily sales trends through the third quarter?
Robert Eck: Well I think your point about Europe tending to be soft in the third quarter is accurate. We do tend to see more vacation impact. I think it will impact t-- I think as I said in my closing part of my comments, the OEM supply market because we do expect to see potentially more extended plant shutdowns in the August time period so that'll have an impact on that business. And I think the holidays normally impact the wire and cable business and enterprise business as well.
Dennis J. Letham: And partially offsetting that in the OEM supply business you would probably have customers who have had greatly scaled back production levels trying to adjust their finished goods inventory in the marketplace who we anticipate in some cases having higher Q3 production on an individual customer basis than they had in Q2 now that they've got their inventories more in line. So there's a little bit of that. And then you have this issue that the trend line on ECS was up sequentially Q1 to Q2 that we're not looking for big pickups Q2 to Q3 but that there's some – a little bit of strength that's showing through there as well.
Operator: Your next question comes from Ted Wheeler – Buckingham Research. Ted Wheeler – Buckingham Research You've answered a lot of my questions. I guess one that I wanted to come back to is the comments about the gross margin. And if I go way back in time when particularly OEM supply wasn't really around, you seem to be in a 23, higher 23% margin mode. I think you suggested that where you are now is kind of the proper margin for the mix, and I'm just wondering if there's a structural diminution versus now going back five or six years of – if you think about gross margin?  I mean I guess I would have thought you could be – I know a lot of noise going on in the short term, but if you had a more steady state volume you – even with current mix, that you could do something 23 to 24 or maybe high end of that margin.
Robert Eck: I think certainly it would our view that as the economy recovers and we get the mix more in line with where we were at in the, I'll call it the '06 through '08 timeframe and get the mix, meaning both geographic mix as well as the end market mix moving in that direction, we would certainly expect to be back in that 23, 24 range at that time. I think the other thing that comes with that is when you get into this issue around the fringe that adds basis points to margin of like supplier incentive programs, in an environment where things are growing – because those programs get set at a point in time. So when you're in a growth environment you have a much higher probability of exceeding the target that was originally set and therefore benefitting from that from a gross margin standpoint. In a softening economy you have a higher risk of missing the target and having a negative impact on the incentive and when you're a flat environment like this, I mean, you're going to be pretty close to the target, so you've kind of lost that little bit of upside potential on some of those volume incentive programs too in the short run. So I think that's a contributing factor too as we return to growth that should add a few basis points to margin as well.
Ted Wheeler – Buckingham Research: Okay, so the steady state that we're kind of comment – or Bob commented on really pertains also to volume levels in addition to OEM being down a lot and Europe being down a lot. I mean this volume issues that are – one would expect then, they're included in this margin comment. Volumes –
Robert Eck: Yes, this –
Ted Wheeler – Buckingham Research: If you want to call it negative leverage?
Dennis J. Letham: Yes.
Ted Wheeler – Buckingham Research: Yes. Just I guess one other, just maybe housekeeping, on copper, you talked about the $50 million impact but as you commented on the roll through from the $1.75 impact of the fourth quarter and into the first quarter, I think you implied there's a bit of a lag so that I guess if let's say copper holds at $2.50 I think you commented that the impact would be somewhat less than $50 million, but I guess in the fourth quarter would there continue to be – it feels like there's a lag in there and that at $2.50 the impact would be maybe quite a bit less than $50 million –
Dennis J. Letham: All depends on –
Ted Wheeler – Buckingham Research: Per quarter.
Dennis J. Letham: Depends on what – yes, it could potentially be. Although fourth quarter last year we're still – while you're comparing against a much lower spot price in Q4 of last year, you're really from an actual activity level probably comparing against Q3 type prices in the fourth quarter of last year. So it all depends on how volatile the curve is over the next few months.
Robert Eck: If you remember in the fourth quarter, I think we made comments about the fact that the rapid decline in copper wasn't seen so much in the revenue in the wire and cable business because there was so much inventory throughout the supply chain, both finished goods at distribution, finished goods at manufacturer and whip at the manufacturer's work in process inventory at the manufacturers, that with all that inventory sitting there, there was I'll say anti-gravitational forces keeping prices from declining along with copper. So we didn't really see in the fourth quarter kind of the full effect.
Ted Wheeler – Buckingham Research: I see, and that lag factor is diminished because inventories have been worked down.
Robert Eck: Yes.
Ted Wheeler – Buckingham Research: And I guess the last one, I think that you commented – I thought I heard you comment that project activity, in a few areas, not across the board, seems to have picked up a little bit. I know you talked about pipeline but I just wanted to refresh the comments if you could on the project work.
Robert Eck: Yes, Ted, we did see, I think the words I used were a modest pickup in project activity in the enterprise business which contributed to the sequential growth in North American enterprise. And we also had some project activity in the wire and cable and market in Canada, which was basically the sort of return to some projects that had been temporarily put on hold up there. So we've seen some modest pickup in project activity. I guess I'd caution, and I think the tone we're – Dennis and I are probably both coming across with here is the tone of caution as we look forward we've seen some interesting signs like the modest project pickup, but I don't by any stretch of the imagination feel like we're out of the woods and we're in kind of a rapidly improving market at all.
Operator: I'm sorry, please go ahead.
Robert Eck: I guess at this point we'll close the call to questions, so thanks for joining us today. The second quarter presented a number of challenges to our management team. I'm confident that we are taking the necessary steps to balance the short and long-term needs of the company. We believe that our value added distribution model provides unique benefits to our customers and suppliers and we will manage profitably into the eventual recovery. Thank you.
Operator: Again, that concludes today conference call. Thank you for your participation and have a good day.